Operator: Hello, and welcome to the Eos Energy Third Quarter 2025 Earnings Conference Call. Please note that this call is being recorded. [Operator Instructions] Thank you. Now, I would like to turn the call over to Liz Higley, Vice President of Investor Relations. You may begin.
Elizabeth Higley: Good morning, everyone, and welcome to Eos' third quarter 2025 conference call. Today, I'm joined by Eos' CEO, Joe Mastrangelo; COO, John Mahaz; and CCO and Interim CFO, Nathan Kroeker. This call, including Q&A, may include forward-looking statements, including, but not limited to, current expectations with respect to future results and outlook for our company. Should any of these risks materialize or should our assumptions prove to be incorrect, our actual results may differ materially from our expectations or those implied by these forward-looking statements. The risks and uncertainties that forward-looking statements are subject to are described in our SEC filings. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We undertake no obligation to update these statements made during this call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. Today's remarks will also include references to non-GAAP financial measures. Additional information, including reconciliation between non-GAAP financial information to U.S. GAAP financial information is provided in the press release. Non-GAAP information should be considered as supplemental and is not meant to be considered in isolation or as a substitute for the related financial information prepared in accordance with GAAP. In addition, our non-GAAP financial measures may not be the same as or comparable to similar non-GAAP measures presented by other companies. This conference call will be available for replay via webcast through Eos' Investor Relations website at investors.eose.com. Joe, John and Nathan will walk you through our business outlook and financial results before we proceed to Q&A. With that, I'll now turn the call over to Eos CEO, Joe Mastrangelo.
Joseph Mastrangelo: Thanks, Liz, and welcome, everyone, to our third quarter earnings meeting. I'd like to start off on our classic page, our operating highlights. I really want to talk about -- Nathan and John will dive into the numbers here a little bit, but I want to spend a moment on the commercial pipeline and the orders booking and the recent announcements that we made to just talk about the team that's been at work here. Nathan moved over to be our Chief Commercial Officer back in the spring, and you're starting to see the results of both him and Justin Vagnozzi, who's been here for almost 2 years. You're seeing the pipeline going up. You're seeing MOUs and getting on the same side of the table with the customer transferring into orders, and you're seeing those orders go into backlog and then ultimately out the door shipping. At the same time that, we've won a couple of orders here after the quarter closed, we signed a very important strategic agreement with Talen Energy that, I'll talk about a little bit further, how we're thinking about this on the subsequent page in the deck. Around revenue, look, John has been here with us for 60 days, and he's going to go through the details of what he found and what he's done in those first 60 days. But we've had a team on the field here for the last year. Jason Greggs, Josh Payne, Jessica Troiano have been doing a fantastic job helping us position the supply chain, help us position cost to get to profitability and really position us to scale this business. You've seen our best quarter-to-date on revenue in the history of the company. It's a phenomenal performance by the team in the third quarter. And more John will talk about how we started off fourth quarter, which really leads us to reiterate guidance, which I'll talk about at the end of the presentation. On the cash side, you saw that we hit our last cash milestone around customer cash. And again, this is attributable to 2 hats that Nathan wears, being the Chief Commercial Officer, working on both the order side and the project side along with being the CFO, we brought in $43 million of customer cash here already in the fourth quarter. The business is becoming more stable and being positioned to scale as we move forward. It's an exciting time to think about what the future holds. And I want to move to the next page to talk about some of the announcements that we made a few weeks ago. Look, I know when we talk about our new building, people are going to ask why now? Why didn't you do this to begin with. And I just want to take a moment to talk about where we were and how we wound up where we are. We started off in Turtle Creek in 2019. We took a building that was very low cost and we expanded into a footprint with our landlord. That footprint, as we expanded, is not optimized. This new building gives us an optimized footprint to build a world-class factory to take cycle times down to drive cost down and to get this product where it should be as a market leader, both on performance and cost. I'm excited about what we're going to be doing in our new factory as we get into next year and how John is positioning us to expand capacity to meet demand. On our new software hub in downtown Pittsburgh, it's an honor for us to be part of the revitalization of downtown Pittsburgh. It's an honor for us to be sitting here and thinking about coming to Pittsburgh, because we knew we could build things and now tapping into the brain power and the ecosystem to make how we're building things even smarter. Being able to recruit, when you look at the work that we've done and Michelle Buczkowski coming in as our Chief People Officer last year. When you look at our company, our turnover rates are in line with high-growth start-up companies. And we brought in a lot of talent to make this company better over the last 24 months and particularly in the last 12 months. I'm excited to be moving into the new building. You can see a rendering of what the building will look like. We're not taking the whole building. We're taking 3 floors, but it will be branded as an Eos Building. And we look forward to the day where all of our shareholders will be able to watch a Pirate's game or a Sealers game and see that Eos logo in the skyline. It's very humbling to think about where we've come from but it's also very exciting to think about where we're going. So, if we go to the next page, I want to talk about the market itself. So, I want to take a second here to talk about what we're trying to do as a country and as an industry and ultimately globally to truly scale into the power requirements that we need to future growth and future economic growth around the world. We're in the third energy super cycle of my career. What I'm hoping for in this energy super cycle is not that we just do the same things we've always done of adding capacity in big chunks and then looking to see if we've met demand. I think we can do this smarter. I think energy storage makes this expansion even better. I've said this before, our systems don't care if you put a brown electron in from traditional power generation or a green electron in from renewables. They take electrons and store them for when they're needed. So, what does that mean? Well, let me just talk about -- put for a second, go back to my old life before Eos and talk about traditional power generation. Traditional power generation, it's installed for peaks. You build capacity for a peak once a year that may happen. The capacity factors of how that generation works are in the 33% to 65% range. That means the assets are sitting idle more than they're probably actually running. So what does energy storage do? For every 5% that you can increase the capacity factor of a gas turbine of steam-fired coal plant of a nuclear facility or pumped hydro storage, every 5% increase in capacity factor is like powering 50 million homes. What does that mean? Let me put that in context. That's powering for 1 year, California, Texas, New York, Pennsylvania and Illinois. We need power, we need energy storage and we need energy storage now, and that's what we're positioning this company to deliver. At the same time, if you look at renewables, let's say you say, renewables, inefficient, they have intermittency. But just take the installed base of the renewables we have now. Don't add anything to it. Let's imagine that we don't add any more wind or solar to the power infrastructure. Just putting energy storage systems on that existing installed base. So what's curtailment mean? Curtailment means that the wind is blowing or the sun is shining and there's no demand for those electrons. Adding energy storage at those points in time, you can add 10 gigawatt hours of BESS and power 750,000 homes for a year. That would be like powering Philadelphia for the year. Don't add any additional capacity, put energy storage alongside of it, make our energy infrastructure more efficient and make it available to consumers and industries when it's required. When you think about what all that trials and tribulations and variances and how things work on the upfront generation side, that has an impact on how we deliver the electrons to the end user. We have a lot of congestion on our grid, congestion, think of it as a traffic jam. Energy storage on both ends of that traffic jam on the source and the use allows you to decongest and reduce cost in the overall system. Take what we have, make it more efficient, make it lower cost, deliver the electrons when they're needed and generate those electrons as efficiently as they possibly can. Now we're talking about this super cycle being driven by AI and the build-out of hyperscalers. And yes, they're creating new demand in the system. But at the same time, we have to deliver that demand at a cost-effective way so that consumers don't see their energy prices go up. The way you do that is with energy storage. And what's our value proposition as Eos? And I'm going to talk about Eos. We need all types of energy storage, but let me specifically talk about what we bring as Eos. If you go with a traditional cube solution that we've been putting out in the market with 1 acre, you can deliver 100-megawatt hours of cubes. If you take that same 1 acre and do an in-building solution, because of the way of our architecture of our product and how it operates, you can deliver a gigawatt hour in 1 acre. That's 4 times what is out in the market today. That's being able to take bulk storage available today, bring it to the market, get that running and get what we have operating more efficiently and deliver more electrons when they're needed. So, we can win the race of AI. At the same time, our round trip efficiency, I'm going to show you data on the next page. Our round trip efficiency is in the mid-80s to the low 90s, but that's across a very wide operating range. There's no other technology that can deliver that type of performance over that wide of an operating range. Not only do you have to sit there and say, do a 12-hour continuous cycle or 16-hour continuous cycle. You want to do a 4-hour cycle than a 5-hour cycle later in the day, our technology will do that and deliver that same round-trip efficiency independent of what the ambient temperature is. So, we have a wide operating range, ability to go across multiple temperatures and we can respond to fluctuations in demand. So, think about this 5 milliseconds. I can't even -- that's faster than snapping your fingers. So, if demand changes or excess capacity comes on, our system responds 5 times faster than what the grid requires. It's leading in the industry in that area. At the same time, our system will run for 25 years, and you don't need to add extra capacity in there because we have very low degradation. And then our auxiliary loads. A lot of the times when you hear things about high round trip efficiency of other technologies, they don't tell you about the power they need to keep them cool or to keep them safe. We use 1% to 2%. So, when we talk our high 80s to low 90s, low 90 round trip efficiency, we're talking about that in the terms of including the offloads. That's a net number that goes on to the grid. And they're non-flammable. And we'll -- and I've talked about this before and talk about this again. Yes, if you overcharge our battery more than 200%, you run the risk of the electrolyte heating up and having steam come out of the battery. That steam is nontoxic. We tested it as this has happened. It happens. It's happened. It's a safety feature of our battery. It's what makes it non-flammable. And we've been able to operate through those incidents, basically replace batteries, keep the system in place and start operating again. Now, let's go to the next page and talk about operations, Z3 field performance as of the end of October. This is really, really encouraging with Francis Richey and the team in Edison, these guys have been with Eos for nearly 10 years. They've developed a product that is a killer product out in the marketplace. I'm proud to see these initial results of how we're operating. If you look at the bottom left-hand side, you can see the average performance of the 4 sites that are operating. And if you look at the right-hand side, you can see the top performance of how they're operating. But what I'd like to point out to you is look at that wide temperature range. Normally, like if you're an engineer and you're a technologist listening to this, you know thermodynamics. You get to extreme temperatures, performance usually drops off. But look at our performance against those fluctuations in temperature. It's relatively flat. More to come on the performance of this product. We are very encouraged about what we're seeing and feel like this product meets all the demands I talked about on the prior page. Now, let's go to my last page here before I turn it over to John, our improved operating performance. Look, you see the performance and the increase in revenue quarter-over-quarter-over-quarter. This is all about taking production bottlenecks out, eliminating single points of failure in manufacturing, bringing someone in with John's experience is only going to make this better with time. We were able to double our revenue number from second quarter into third quarter. And going into fourth quarter, we feel really confident on what we're seeing in the first 40 days of the quarter as far as how we're going to be able to execute for the rest of this year and going forward. But on the right-hand side, what's most important for everyone here on the phone is our ability to generate returns on that volume. And if you look at those lines, those lines are rapidly approaching breakeven and ultimately profitability. And what's most important is you see the gap between our gross margin and our adjusted EBITDA margin closing. That's because we've always talked about the ability to scale this business on a low-cost base and deliver profitability. I'm excited about where we are. We still have a lot of work left to do. We have a great product. There's going to be more to come. We're really excited. John and Nathan will walk through both operations, commercial and financial. But this was a really good quarter delivered by a team that's wired to win and wants to be the best in the industry. And with that, I'll turn it over to John to walk through operations.
John Mahaz: Thanks, Joe, and good morning, everyone. Really excited to be here today to talk to you about Eos. It's been just over 60 days since I joined Eos. And as an operations leader, there's truly no better time to join a company than when it is set up for large-scale growth. Before diving into what the team has accomplished and what we're focused on going forward, I just want to briefly introduce myself. I bring more than 35 years of experience leading large-scale, high-quality, efficient and cost-effective operations around the world. I worked for organizations that are recognized for world-class execution. And I not only know what world-class looks like, I have also built and led teams to deliver it. My experience has taught me how to drive operational excellence, building systems that are efficient, repeatable and cost effective at scale. Those lessons translate directly into what we're doing here at Eos. What's impressed me most about Eos is the simplicity and scalability of the product, a single product SKU and a highly automated manufacturing process tailored around it. The team has done the hard work, improving the process, tightening the supply chain and hitting cycle time milestones that demonstrate this technology can scale. As we move into the next phase of growth, my focus is on driving consistency and repeatability, creating a global playbook that allows us to replicate this model wherever our customers need long-duration energy storage. We see meaningful opportunities to take cost out of every aspect of the product, not just materials, but labor efficiency and overhead, as Joe has discussed many times on prior calls. Through process optimization, automation, layout design and lean principles, we'll be able to increase revenue per head, square foot and CapEx. But before I get into what's next, I want to acknowledge the environment I walked into. The foundation of any company is its people, and it's clear that we have at Eos is a team that's hungry to win. I inherited an operations team that's intelligent, experienced and driven to take care of their employees, delight their customers and deliver for their shareholders, a culture of teamwork, winning the day and continuous improvement, a design team that has built an exceptional product and continues to work closely with the operations to enhance quality, efficiency and cost. So, let's take a look at what the team has accomplished in the 2 months I have been here, focusing on 5 key areas: safety, quality, cost, output and capacity expansion. Safety is our top priority. We reduced safety incidents by 84% from Q2 to Q3 and year-to-date are 41% better than industry average. In September, we did 4 times the production volumes that we did in August with 0 lost time safety incidents. My goal is clear. I'm entrusted to keep our people safe and send them home to their families each and every day. Quality. We have made significant progress and decreased battery defects by 45% from Q2 to Q3. Bipolars account for about 70% of the total battery defects. And with a complete cutover from manual to 100% automated bipolar production at the beginning of Q4, we expect to drive that down by another 63%. With cost, we have a single product to focus on. What does that mean? I'll give you a couple of examples. One, we have 5 buyers. The activity level on cost has not changed, whether we buy for 1 line, 10 lines or 50 lines. The organization is already scaled in all key areas for growth. Two, our supply base consists of 9 key suppliers making up 80% of our bill of material. To date, we have never done a large buy-in buy with our suppliers because of uncertainty around capacity installation and production ramp. We are now in the position to do so. We hosted these suppliers in Turtle Creek a few weeks ago, where we reviewed our capacity forecast and opportunity pipeline. As they ramp their production, they will have the ability to get more efficient and realize cost absorption. With that as the backdrop, we expect to achieve further cost out in sync with the volume increases. With this and other cost initiatives, we expect to exit Q1 gross margin positive. Moving to production output. We're now positioned to deliver a significant step change in Q4. In Q3, our automated battery line operated at 15% capacity utilization of its full 2 gigawatt potential, limited by subassembly bipolar equipment availability. In Q4, we expect to ship 3 times the volume we did in Q3. We'll accomplish this by increasing capacity utilization by 167%, ramping additional shifts along with having all 8 bipolar cells in full production. My team is laser-focused on hitting the output to achieve our revenue guidance and we're set up to do just that. In October alone, we've already shipped 179% more tubes than we did in the first month of Q3. And in just the first 4 days of November, the team has already shipped 83% of August total volume. Let me say that again. What took us a month to accomplish just 3 months ago will now take us only 6 days. Now, looking ahead, our next big step comes with the new building and the installation of line 2 expected in spring of 2026. What excites me here is how we'll be able to utilize the layout and the opportunities we have to be even more efficient. The space is designed for single-piece flow, enabling lower cost and higher throughput. Let me give you an example of what I mean by this. Today, we're moving product across 3 floors and 2 buildings and from start to finish, which translates to materials traveling 2.1 miles. There are significant material handling costs associated with this. In the new building, we expect this cost to decrease by 86% as we will have a one floor single piece flow in our end-to-end operation. This not only improves cost but gives us the ability to increase throughput. You've heard us talk about having a battery come off the line every 10 seconds. What we're focusing on now is reducing that time even further. With changes to line 2 design, we should be able to further reduce cycle time. Once validated, we will then go back and retrofit line 1. We will continue to implement enhancements to the automation equipment to reduce cycle time. Finally, we're preparing to scale by diversifying our operations' supply base. With multiple partners in place, we're positioned to have our suppliers build the line every 90 days if needed. That flexibility gives us the ability to stay ahead of demand and deliver for our customers when I get the green light from Nathan. With that, I want to thank everyone for their time, and I'll let Nathan talk through the commercial highlights.
Nathan Kroeker: Thanks, John. It's been great working with you and having you as part of the Eos team. Look, I've been looking forward to being on the call with you today and sharing what's been going on commercially. It's been an exciting few weeks since John has joined us and you can feel the momentum building across the organization. Let's start with the commercial front where we've made significant progress since we last updated you. Just last week, we announced our first purchase order with Frontier Power, a 228-megawatt hour deal supporting several long-duration storage demonstrations across multiple markets. This first order is the initial movement of Frontier MOU volumes from pipeline into backlog. This PO is very strategic as it is for deployments ahead of Frontier's U.K. Cap-and-Floor projects. That means we're getting systems in the ground early and showing the market what our technology can do ahead of the Cap-and-Floor projects as we continue to support Frontier on their submissions. To put the Cap-and-Floor program in perspective, there were a total of 177 projects submitted by various developers but only 77 advanced to round 2, and every single one of the 16 projects that Frontier submitted using our technology moved forward. That means Eos is represented in over 20% of the projects that made it to round 2. We have nearly 11 gigawatt hours in the second phase, more than double what was anticipated when we signed the MOU with Frontier earlier this year. That's a powerful endorsement of our technology and our ability to deliver at scale. And just to remind everyone, under Cap-and-Floor rules, projects must deliver at least 8 hours of discharge, which plays directly to our strengths in long-duration storage. We recently announced a 750-megawatt hour supply contract or MSA with MN8 Energy, one of the largest independent renewable energy operators in the U.S. We began our relationship with MN8 in 2023. Earlier this year, we announced an MOU where our 2 companies were working together to develop an opportunity pipeline. That MOU has now transitioned from pipeline into backlog as an order for 750 megawatt hours. This illustrates how our commercial process works. The first couple of 10-hour projects are expected to total 200-megawatt hours and uniquely pair solar with long-duration storage in support of hyperscaler offtake requirements. This is a strong signal that the market is shifting and that customers want not just long-duration storage, but an American-made solution to power data centers and industrial operations. Zooming out for a moment, our commercial pipeline continues to grow as we ended the quarter at $22.6 billion, a net increase of 21% quarter-over-quarter, representing about 91 gigawatt hours of potential projects. And no surprise here, data centers are the fastest-growing part of the pipeline, now making up 22% of the volume. And perhaps even more encouraging, 64% of our pipeline volume is now at 6 hours or more in duration, validating what weâ€™ve been saying, the world needs longer duration solutions. Geographically, we're beginning to see a significant increase in activity in PJM and New York ISO, along with the existing growth we've previously highlighted in SPP and MISO. For example, the NYSERDA bulk storage RFP, which is similar to the U.K. Cap-and-Floor mechanism, requires that 20% of the procurement be 8-hour systems and 20% be in Zone J, which includes Manhattan. This is exciting for us as this aligns exceptionally well with our technology and our ability to be deployed in populated areas. With the rising demand from data centers and electrification, customers are focused on speed to power, high-density energy delivery and derisking supply chains with U.S.-made technology, all areas where Eos is uniquely positioned to deliver. Finally, on backlog, we ended the quarter at $644 million with 2.5 gigawatt hours of storage, not including nearly 1 gigawatt hour in new orders that we've booked since the end of the quarter. This is down slightly quarter-over-quarter as we continue converting backlog into revenue on shipments. During the quarter, we delivered over $30 million in revenue while adding an initial order for behind-the-meter storage for a large client in Germany. While Q3 may appear slower on paper, Q4 is already off to a strong start with more than $220 million in new orders booked and significant forward momentum on several large pipeline opportunities. We've built strong partnerships with leaders like Frontier and MN8 and we continue working on additional opportunities to support the large and growing hyperscaler demand for reliable power. Moving to our financials. We again delivered record quarterly revenue as production volumes continued to ramp with gross margins improving sequentially for the past 4 quarters. We're really encouraged by our progress and remain confident in our ability to scale, now that subassembly automation is nearing completion and delivering increased manufacturing capacity and quality, as John highlighted earlier. Revenue for the quarter was $30.5 million, double what we reported in Q2, supported by shipments to 5 different customers. To put that in perspective, we nearly doubled our 2024 revenue in the third quarter, showing how quickly production is accelerating in Turtle Creek as our automation efforts take hold. Average selling price was also higher and more in line with our expectations going forward. You'll recall that in Q2, 50% of our production volume was delivered to a single strategic customer at a lower ASP, which was a drag on revenue for that quarter. I'd like to highlight that, as Joe mentioned earlier, this system has begun cycling and running in the field at some of the highest RTEs we've ever seen. Gross loss for the quarter was $33.9 million, just slightly more than last quarter as revenue doubled on increased volume, driving a 92-point improvement in gross margin and demonstrating the scalability of our operations as we ramp. We're continuing to see steady quarter-over-quarter margin improvements and remain on track to reach positive contribution margin in the fourth quarter and positive gross margin as we exit the first quarter of 2026, as John previously said. Building on the improvements in gross margin, operating expenses for the quarter totaled $27.3 million, an improvement of $5.6 million from Q2 and 4% better than prior year. 20% of this quarter's OpEx reflects noncash items such as stock-based compensation. We ended the quarter with a net loss of $641.1 million, which was primarily driven by noncash fair value adjustments of approximately $569 million related to warrants and derivatives on our balance sheet. And to be clear, this is not an operating loss. The adjustments are largely driven by a 122% increase in our stock price quarter-over-quarter and the corresponding mark-to-market revaluation. These stock price fluctuations can and will continue to drive volatility below the line but they have no impact on our operating results or our cash position. Adjusted EBITDA loss was $52.7 million compared to $51.6 million in Q2. Importantly, net margin improved by 166 basis points, reinforcing that the efficiency gains we're achieving in production are scaling across the business. The continued increase in production volumes that both John and Joe talked about should be moving us to positive contribution margins in the fourth quarter. After that important milestone, we'll start closing the gap on EBITDA margins and continue moving toward profitability. Turning to the balance sheet. We ended the third quarter with $126.8 million in total cash. A couple of things on cash post quarter close. First, you heard Joe talk about the customer receipts we received in October. Second, we just completed another sale of our production tax credits, monetizing $11.8 million of 45X credits that were generated in the first few quarters of this year. Consistent with prior transactions, we realized $0.90 on the dollar on this sale. And lastly, we've seen an increasing number of exercises in both our public and private warrants as all warrants are now in the money. The last day to trade these public warrants is November 17. Just as importantly, we've completed the final Cerberus milestone tied to customer cash receipts under our term loan. This means that we've achieved all 16 milestones, with no additional equity, preferred stock or warrants being issued to Cerberus, and I want to thank all of the Eos employees for making this happen. With that, I want to thank everyone for joining us this morning, and I'll now turn it over to Joe before heading into Q&A.
Joseph Mastrangelo: Thanks, Nathan. Before we move into Q&A, I'd like to reiterate guidance to the low end of our range. Nathan and the commercial team have positioned us with the backlog that allows us to deliver, and you've heard from John and the impact he's making on improving our operations performance that are keeping us on track to earn between $150 million and $160 million in revenue for the total year. I also feel compelled to make a few comments about the short report that was issued about Eos last week. When the report surfaced last Thursday, I was in a meeting in New York with the CEO of a large independent power producer, the North American CEO of a large energy storage operator and the CEO of one of Eos' largest financial investors. We were discussing a strategy to meet America's accelerating power demands with a mix of generating technologies combined with Eos Z3 systems. While I was finishing up the meeting, our team quickly mobilized to review what's being said about our company. We take these issues very seriously and immediately engaged our outside SEC counsel and our external auditors in this review. We are certain that the allegations in the short report are without any merit. Short reports are a fact of life these days, but the silver lining is that I am humbled by the support we received over the prior week from the Department of Energy to the California Energy Commission, to the Edison Fire Department, our customers, large institutional investors and our vast retail investor base. I'm proud to say that, I work at Eos. We're a team of 750 people who are building a great company. And collectively, we own 11% of the company's equity. When I got back to Turtle Creek, I found a galvanized team with a singular focus to finish what we started and prove that great and innovative products can still be designed and manufactured in the United States. We are a team that is wired to win. With that, let's start by taking a few questions submitted online. I'll turn it over to Liz. Thanks.
Elizabeth Higley: Thanks, Joe. So, moving to a few of the questions we've received online with the first question being, can you provide an update on the time line around Factory 2 outside TA? And if Project AMAZE will need to be completed before Factory 2 lines go live?
John Mahaz: Thanks for the question. As we discussed earlier in my opening remarks, we now have building partners and automation partners that can deliver a line every 90 days. This work can all be done simultaneously going forward.
Elizabeth Higley: Thanks, John. Next question. As the company navigates a capital-intensive scale-up phase, how are you balancing the need for fresh funding with imperative to avoid excessive shareholder dilution? And what milestones might unlock access to lower cost capital?
Nathan Kroeker: Thanks, Liz. As you just heard John say, we're positioned to add manufacturing capacity to meet this growing demand. We're in an energy super cycle and it's my job to deliver the orders and the capital to support this growth. And I'm committed to doing this in the most cost-effective way possible for the company. All right.
Elizabeth Higley: Thanks, Nathan. I think the next one here is for Joe. What is the long-term vision? And how do you plan to surpass or match the competition?
Joseph Mastrangelo: Thanks, Liz. So, look, I mean, you heard John talk about positioning us to be able to add capacity in a 90-day rhythm. That's great when you talk about being an energy super cycle. Nathan is out there with his 2 hats, winning the orders to fill the factory and securing the capital to drive growth. I'm just excited about the product that the team has delivered. I mean, we've got some things that we're working on that we're really excited about that will position us to be the energy storage product to help meet the needs of this energy super cycle. We've got some work to do to continue to close the gap on profitability, and I feel really good about the playbook the team has to be able to do that. But at the same time, we've got to make this the easiest technology to work with out in the field, and that's why we're investing in a software hub here in Pittsburgh. And I think when you think about what we want to do is take a great technology, build it quickly and operate it easily out in the field. That's the simple strategy of this company and what everybody is executing on. With that, we'll turn it back over to the operator and see if there's any questions from our sell-side analysts. Thanks.
Operator: [Operator Instructions] And your first question comes from the line of Julien Dumoulin-Smith with Jefferies.
Julien Dumoulin-Smith: Maybe just to kick things off here. I know you tweaked the '25 guide here. But if you think about like the quarter-over-quarter run rate and trajectory, I know you articulated this more in operational terms in your prepared remarks. But how would you think about as you exit '25 with that 4Q that's implied with your full year '25 guide, how do you think about that ramping into '26 here and what that trajectory suggests? If you just look at the 2Q, 3Q, 4Q trajectory on top line, I'm just really curious how you think about that revenue trajectory going into '26, and the ability for your commercial -- yes, go forward.
Joseph Mastrangelo: No, thanks for the question. So, in my prepared remarks, I talked about -- so Q3, we were at 15% capacity utilization. If we look at going forward, we'll exit Q4 running our complete asset base 24/7. So, you're looking at going from a 15% capacity utilization to 90-plus from a capacity utilization standpoint. So, a lot of work was done in Q3, installing capacity, training our workforce, training the additional shifts and all the costs associated with it. So, as you fast forward, all the ramping will be done. So, as we enter Q1 at the very start, we'll be at OEs higher than 90% and we'll be fully realizing and utilizing the capacity.
John Mahaz: And then Julien, on the revenue side, and I'll let Nathan kind of add some comments there because that kind of falls into his 2 hats.
Nathan Kroeker: Yes. No, I mean, John did a good job of laying out what we're doing this year. I think as we look forward into 2026, we're seeing a tremendous amount of activity in our pipeline, right? Pipeline is up 21%. 22% of that now is data center activity. We talked about kind of the sales cycle and how these things mature over a period of months, even quarters. And we continue to see very strong activity in the pipeline as we move forward. Good news is John's capacity expansion now can be moved in 3-month increments as the orders come in. And I think we're going to see new orders come in. We're going to add capacity to line up with those orders and I see consistent revenue growth over time. Yes.
John Mahaz: And Julien, the only the thing I would add on the pipeline and order side, we've always been very conservative about what we do with our backlog and our orders pipeline. Nathan's got some things going on that are MOUs that we haven't been able to announce names yet, and he continues to work with Justin and the entire team to get some of these hyperscalers to go from an MOU to firm projects. And we really only want to talk about them when we close them and there's project names that we can talk about, like we do with Frontier. And I'll make one more point. So, you think about the -- all the assets that we're installing, so we're learning as we go, right? So first bipolar line comes in, took us several weeks to get it up and running. 6 and 7 that we just got up, now we're talking days. The same thing will fast forward to when we launch line 2 in the spring. All those learnings, so we're able to shrink the ramp, shrink the time to get up to full capacity. So, everything we're doing now we're learning because it's -- so with the data, we're going to be able to aggressively move forward much quicker than we are right now.
Julien Dumoulin-Smith: Awesome. And guys, if I can take sort of the natural extension of that last question, how are you thinking about the ramp here, right? I mean it's pretty phenomenal what you've just achieved in the last 6 months here, as you just described. How do you think about the cadence of ramping further lines? And then also, related to that, how do you think about the financing side of that, right? So you've got the $43 million from Cerberus, you have the $24 million award. You've got unrestricted balance of $60 million. You've got an ability to tap DOE. How do you think about financing that against potentially what seems like an accelerated ramp on CapEx? I don't want to put words in your mouth when I say accelerated, but I'm curious on how you think about just teeing this all up and setting expectations.
Joseph Mastrangelo: I think, Julien, I -- let's kind of put the puzzle together there that you're laying out. We have a loan from the LPO from the Department of Energy that finances 4 lines, right? And we're going to line 2. What John is trying to do is like what we -- and what we have to do is reduce the cycle between starting and getting a line up and running so we start producing revenue off of that so that the capital requirements in effect, become operational versus financial. That being said, we're in a moment of time here where the industry and the world needs our product and we've got to be able to ramp into that as quickly as possible. I've said many times, like we don't want underutilized capacity sitting around. But we're looking at all this. And what John has put together from the different automation suppliers that he now has and breaking this up into pieces and getting everybody focused on delivering to that goal, we'll be able to get that capacity online in 90 days, which is well within the cycle time of how Nathan is selling the product. So, part of it will be what we already have in place. Other things will be -- come from operations and deposits from customers as we close orders. And then we'll look to be opportunistic if need be for growth capital if we have to.
Julien Dumoulin-Smith: Awesome. Excellent. One last tweak here. You talked a lot about operational metrics improving, but it seems like the latest quarter ASPs went up materially. Again, you tell me if we're reading that right. And you also flagged, I think, in the Q here, a concentration with like 80-plus percent tied to a single customer. This is not the same customer as you guys have been concentrated to in the past, I presume. Can you talk to that just a little bit about the ASP dynamics and the customer maybe of late?
Nathan Kroeker: Yes. We talked about this a @little bit last quarter as well. So Q2, I think, was the anomaly because we had one strategic customer that was a drag on revenue in Q2. What we're seeing in Q3 was revenue rates reverting back to what we view as a more normal run rate. And then deliveries in the quarter, I mean, it was fiveindividual customers. They're not all equally weighted. But I would say the customer base that we delivered to in Q3 was representative of what customer base would look like going forward.
Joseph Mastrangelo: And Julien, I just want to add 2 points on top of what Nathan just said. ASP, like you could -- like I try not to pick individual contracts. We're managing a portfolio. Like any portfolio, highs, lows, but you got to get your average where it makes sense, and the average of the portfolio is up and it's up because people are seeing the value of the technology. Now, on this strategic customer that we talked about last quarter, look, we're getting data from that system out in the field and it's on that page that we talked about and the data is phenomenal. So I look at that as kind of an investment in our future where we needed to get Z3 out in the field at scale and see it operate, and it's delivering on those results. So, it's a mix of all things. But the overall portfolio of the order book, ASP is higher than what it was.
Julien Dumoulin-Smith: Yes, absolutely. I'm very curious to see some of these strategic partners in their Analyst Days in coming weeks.
Operator: Your next question comes from the line of Stephen Gengaro with Stifel. Please.
Stephen Gengaro: So I think 2 things for me. One is just a follow up on the last question. I'm not sure how much you want to say, but you talked about sort of the average selling price kind of across the portfolio. Is that -- how does that look in the backlog and the recent awards that you're booking relative to kind of what you're realizing now?
Nathan Kroeker: Look, I mean, you can do the math on the backlog page, right? I mean we -- you can see total dollars and total gigawatt hours and how that's trended over time. And it stayed pretty consistent over time. I mean, we're not seeing long term -- long term, I think, the revenue rates that we've realized and expect to realize going forward are going to be pretty consistent. When you get larger orders, we're working with customers and say, okay, what is our cost curve doing, what can we do from a large volume buy perspective. You saw the chart we showed on Page 8, I think it was, where you see margins improving over time. You see net margins improving over time as we continue to scale the business. But we think we're going to turn the corner here and get to positive contribution margin into this quarter, positive gross margin exiting Q1 on a path to profitable positive EBITDA after that.
Joseph Mastrangelo: And Steve, what I would add on top of that, look, part of my job is handing out the targets to people and the orders that were recently closed are well within the ASP portfolio target that Nathan has as CCO.
Stephen Gengaro: That's helpful, because I couldn't do the math on the post-quarter announcement, but that's fine.
John Mahaz: And remember, -- we're talking about, Stephen, that's post quarter close that happened after the quarter, after 3Q. So that will be out in 4Q.
Stephen Gengaro: Yes. The other one I had is -- it's around the margins, but it's around the cost side. When we think about the progression of margin and some of your bigger costs that go into making the product. How should we -- like what are the necessary levers that get you to gross margin positive? Is it the supply chain improving? Is it the COGS coming down per unit? Is it just scale? Like are there -- is there color you can give us around how to think about the cost structure? That's the biggest -- as you've been successful with the ramp and the backlog growth, that's the biggest question we get from investors pretty consistently is, what does this look like at scale from a profitability perspective? So, I'm curious if you could give some incremental color.
John Mahaz: So, from a cost perspective, I already talked about the asset utilization. The same thing is true here is with our suppliers. So, they've had to put a lot of assets in place to be able to support this ramp. So, as we ramp, they're ramping. So, they're seeing cost optimization, they're seeing cost absorption, which will translate in cost reduction from a parts situation. Then you kind of look at labor costs. So, a lot of what we're focused on right now is taking cost out and making things more efficient. So, I'll give you one example. We were focused on our gate and with that, we were looking at travel time, material, the way they're presented. Basically, all aspects of that operation came in on 1 weekend, completely changed the way we were doing that operation. And the 5 days prior to what we did versus the 5 days ahead, we doubled the output. So, the work we're doing is not having incremental gains, it's having step function gains. So, we talked about labor, you talked about utilization. Again, we'll be at 100% utilization coming out of Q4. So you're going to get match the asset. Then it's about taking cycle times out. So, if I can -- we've got a heavy automated process. So, if I can take 10 seconds down to 9.8 seconds, down to 9.6 seconds, and that work is absolutely doable. Again, you keep moving it forward. The one thing I like about being here is where I came from, I had thousands of different products. So, the focus would shift every day. Now -- come in every day and focus on the one product. So, this journey never ends. There -- we will continue to look at all of our cost buckets and continue to put projects together that will close those out. We, right now, just in taking material cost out, forget cost savings and what we're asking from the vendor, we've got 61 different projects that we're doing right now to take the amount of parts that we have out, to take the cost out, 61 projects, and all of those projects will be closed before we exit Q2. So that's the way I kind of think about it.
Operator: And there are no further questions at this time. I will now turn the call back over to Joe Mastrangelo, CEO, for closing remarks.
Joseph Mastrangelo: Thank you. Thanks, everyone, for listening. Look, one thing I want to talk about here in the closing is like the project that Nathan and Justin closed with Frontier Power, because this kind of lays out another strategic puzzle piece for us as we grow the company. Look, we met Frontier back in January. Nathan and Justin met them at a trade show in the U.K. We developed a relationship, signed an MOU, got a project pipeline. And every week, we meet with Cerberus, and we go through where we are in cash, where we are financially, how are we doing in performance. And we look at Frontier not as a transaction, but as a platform. Cerberus financed Frontier because we view this as experienced operational leadership in the industry that can help us build a platform to expand out in Europe. We're excited about how that's going to look as we move forward and really look forward to partnering with the team at Frontier. At the same time, we're looking at what John is doing operationally, and you heard a really -- it's fun working with him. It's great having him on the team and seeing what he's been able to deliver and the whole team underneath him. We just have to keep growing, keep focused and knowing that the industry needs our product. We got to continue executing and we got to keep making this simpler and easier to do business with. We look forward to keeping everyone updated on the progress. I want to thank everyone for listening today. Thanks a lot. Talk to you soon.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.